Operator: Thank you for standing by. My name is Jail [ph] and I will be your conference operator today. At this time, I would like to welcome everyone to the Celsius Holdings Third Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions]. I would now like to turn the conference over to Paul Wiseman, Senior Vice President of Investor Relations. Please go ahead, sir.
Paul Wiseman: Good morning. And thank you for joining Celsius Holdings third quarter 2024 earnings webcast. With me today are John Fieldly, Chairman and CEO; Jarrod Langhans, Chief Financial Officer; and Toby David, Chief of Staff. We'll take questions following the prepared remarks. Our Q3 earnings press release was issued this morning with all materials available on our website ir.celsiusholdingsinc.com and on the SEC's site, sec.gov. An audio replay of this webcast will also be accessible later today. Today's discussion includes forward-looking statements based on current expectations and information. These statements involve risks and uncertainties, many beyond the company's control. Celsius Holdings disclaims any duty to update forward-looking statements except as required by law. Please review our Safe Harbor statements and Risk Factors in today's press release and in our quarterly filings with the SEC for additional information, which contain a description of risks that may result in actual results differing materially from those contemplated by our forward-looking statements. We will present results on both a GAAP and non-GAAP basis. Non-GAAP measures like adjusted EBITDA and adjusted EBITDA margin and their GAAP reconciliations are detailed in our Q3 earnings release, and non-GAAP financial measures should not be used as a substitute for our results reported in accordance with GAAP. With that, I'll turn it over to our CEO, John Fieldly.
John Fieldly : Thank you, Paul. Good morning, everyone. Celsius reported its third quarter financial results today, revealing continued consumer demand growth and revenue, which was broadly in-line with expectations we set during the quarter. Celsius retail sales in the quarter ended September 30, increased 7.1% year-over-year, on unit sales increase of 7.3%. Celsius resilient growth at retail overcame softness in the category, which grew at 2% in the same period. Once again, Celsius was a significant driver of the overall energy category, contributing more than 16% of all growth. Total revenue for the third quarter was $265.7 million, a decrease from last year primarily attributed to distributor inventory optimization, which Jarrod will discuss in greater detail on this call. Year-to-date revenue through September 30th was $1.02 billion, an increase of 5% from last year. The sell-through data we are seeing continues to be supportive of us being the largest driver of the energy category. I want to reiterate our three key growth drivers that we are focused on for the rest of the year and beyond, attracting new consumers into the energy category, expanding product availability, and increasing consumption frequency. We believe that we're making progress across each of these initiatives will help us pursue our vision of becoming the leading energy drink brand. Let me share more details on how we're thinking about each. First, we are continuing to bring new consumers into the energy drink category through premium marketing and innovation around better-for-you, great-tasting energy. Celsius continues to deliver innovative flavors that resonate with consumers, such as our new On-The-Go Powdered in our Vibe line and RTDs, like Sparkling Watermelon, Lemonade, and Cherry Cola, which we're taking nationwide due to strong consumer demand. Two recently announced Celsius essential flavors, Grape Slush, and Watermelon Ice, alongside our new 2025 Vibe and Core line innovation previewed at the convenience store trade show NACS, keeping consumer excitement and category trial high. We believe that Celsius continues to outperform on taste, function, and our brand association with the LIVE FIT lifestyle, that brings new consumers into the energy drink category through our marketing. Second; in terms of expanding product availability, based on recent industry surveys, we expect energy will continue to gain shelf space in the beverage coolers and aisles with Celsius being a strong beneficiary of these games. This validates positive customer conversations we had last month at NACS. Domestically Celsius market share has been resilient with our share in MULO Plus with Convenience in the last four weeks, ending October 6, rising to 11.6%, an increase of 10 basis points from this time last year. We are focused on reaccelerating our share growth. We believe that our incentive program with Pepsi featuring priority periods and aligned resources should provide additional tailwinds for us going forward. Turning to other channels that are expanding our availability, approximately 12.3% of Celsius total North America sales to PepsiCo in the quarter was through the food service channel, with strong results in workplace, restaurants, recreational, lodging and gaming sales. Lodging and restaurant points of distribution were up 46% and 27% respectively compared to last year. Celsius sales to Amazon increased 21% year-over-year to $27 million, up from $22.2 million in the prior year period. Celsius ended Q3 with a 20.4% share on Amazon, according to Stackline last 14 week read, ending October 5, 2024. E-com continues to be a great opportunity for us building brand awareness and making our product accessible to consumers whenever and wherever they want it. Sales to Costco in the third quarter of 2024 increased 15%. However, sales to Sam’s club and BJs were negatively affected due to timing of promotions and innovation loading in the year ago period. The total club channel sales decreased 4% to $60.5 million in the third quarter 2024 from $63.2 million for the prior year period. Our expansion is broader than just North America. In October, we launched in Australia and New Zealand. Our third growth driver is increasing consumption frequency. Celsius expanded energy drink consumption occasions with refreshing flavors and our aspirational LIVE FIT lifestyle. Celsius continues to grow our presence in incremental consumption occasions like mealtime through our partnerships with leading convenience stores and quick-serve restaurants like Jersey Mike's. We're supporting our growth drivers by investing behind the brand, but also in our organizational excellence, scaling operations, advancing technology, and developing our people. Last week, we acquired Big Beverage, a long-term Celsius co-packer, which is intended to give us new innovation capabilities, greater control of our supply chain, and addition of financial benefits that we believe will be achieved in the near and long term. We believe that vertical integration like this co-packer acquisition is a capital efficient growth driver and another way we are investing in our long-term vision to become the leading energy drink brand in the United States. We've also recently established a new center of excellence in Ireland intended to drive our innovation, global procurement, supply chain, and global marketing forward as we expand further across the U.S. and into new global markets. Our field sales, key accounts team have begun using AI-assisted selling tools, as well as a new mobile technology that optimizes vehicle routes for further efficient selling and relationship management. We are also investing in new technologies to improve efficiencies in our orbit model and reduce our freight lane costs. Importantly, we welcome two new additions to our already strong Board of Directors, Hans Melotte and Israel Kontorovsky. These professionals bring extended global experience in consumer goods under prior and present leadership roles at Starbucks, Johnson & Johnson, and PepsiCo. Israel replaces Jim Lee, who departed our Board in conjunction with his move from Pepsi to Target. We thank Jim for his service, and we wish him best of luck in his new CFO role. Our customers continue to believe, as we do, that Celsius is a winning brand with a long growth pathway ahead of us. We are investing for long-term sustainable growth with strategies to energize our customers in more places more often. These three growth drivers are underpinned by our focus on organizational excellence across people, technology, and scale. With that, I'll turn the call over to our Chief Financial Officer, Jarrod Langhans, to discuss our third quarter results. Jarrod?
Jarrod Langhans : Thank you, John. While the third quarter was anything but normal, Celsius generated positive net income despite a significant revenue headwind, demonstrating the strength of our financial position and operations. Moreover, we continue to invest in our brand as we stayed focused on driving our sales and marketing efforts, and we put a portion of our cash on hand toward vertical integration with the acquisition of Big Beverages, all of this to invest in our long-term growth. This quarter, revenue was approximately $266 million, down 31% from $385 million in Q3 last year, primarily due to inventory optimization by our largest distributor, impacting revenue by around $124 million. Promotional allowances from increased retail sales created revenue headwinds due to the imbalance that existed between the decreased sell-in to our distributor and increased sell-through at retail. Additionally, the previously announced incentive program with our largest distributor and its network of franchisees fully ramped up in the third quarter. This program further aligns our financial incentives through priority periods and other measures, but does impact our margin. Revenue was further impacted by reduced unit velocity and softer macroeconomic conditions. North American revenue for the three months ended September 30th, 2024 was approximately $247 million, a decrease of 33% from $371 million in the prior year period, primarily driven by the previously mentioned inventory optimization. International revenue grew 37% to $18.6 million in Q3, 2024, compared to the same period last year. Year-to-date total revenue through September 30th, 2024 was approximately $1.02 billion, an increase of 5% from the prior year period. Gross profit in the third quarter decreased 37% to $122 million, down from $194 million in the prior year period. Gross profit margins in the third quarter were 46% of revenues compared to 50.4% for the prior year period. These effects are due to the aforementioned inventory optimization and full implementation of our incentive program in the quarter with our largest distributor. However, margin pressures from these two factors were partially offset by reduced outbound freight costs and savings on the purchase of materials. Year-to-date gross profit through September 30th, 2024 was more indicative of our full year operations and was $513.5 million or 50.2% of revenue, an increase of 10% compared to $466.9 million or 48.1% in the prior year period. Sales and marketing expenses as a percentage of revenue for the third quarter were 37.6% and 26.1% year-to-date. While the sales and marketing expenditures were in line with our forecasted expectations, they were much higher as a percentage of revenue due to the optimization that took place by our largest distributor, which resulted in approximately $124 million less in sales. With that said, we continued to invest and support our brand in a thoughtful manner without creating disruption to our ongoing campaign and investments. Q3, 2024 general and administrative expenses rose 11% to $25.5 million, representing 10% of sales up from 6% last year. Year-to-date through Q3, G&A expenses were 7% of total revenue in line with expectations. Non-GAAP adjusted EBITDA for Q3 decreased 96% to approximately $4.4 million from $103.6 million last year with the year-to-date adjusted EBITDA margin of 18.8%, totaling $192.8 million. Q3 net income decreased 92% to approximately $6.4 million down from $83.9 million last year with year-to-date net income of $164 million. Despite the quarter's pressures, we maintained a cash balance above $900 million and we are generating positive full year operating cash-flow. This concludes our prepared remarks. Operator, you may now open the lines for questions.
Operator: Thank you. [Operator Instructions]. Your first question comes from the line of Jim Salera of Stephens. Your line is open.
Jim Salera : Hey guys, good morning. Thanks for taking our question. I wanted to maybe drill down on the cadence as we close out 2024 and move into 2025. Just with the combination of some of the increased promotional you guys have in the channel, the new flavor launches, is it correct for us to assume that we should see the trends in the scan data have improved sequentially month-on-month as we move through 4Q and then go into 2025?
John Fieldly : Yeah, thanks Jim for the question. We do have a variety of promotional activities planned for Q4 as well. The category is highly promotional as we know. There is a lot of new innovation that's coming out from a variety of other brands within the category. We're watching Velocity on a weekly, monthly, quarterly basis. We have a lot of great plans in place for the back half and heading into 2025. We're really focusing on our growth drivers of increasing new to category, expanding occasions with the usage occasion expanding as well as increasing availability. So those are things we're monitoring. We have a lot of plans in place just coming up in the next few weeks. We have a big program with Jake Paul, Mike Tyson. We’re our title sponsor. So we'll be able to get some further national reach across the country and impressions, and our teams are focused on driving to retail.
Jim Salera : Okay, good. And then maybe if I can sneak in a quick follow-up. If we think about the pressure that the category is seeing, obviously still one of the better categories across retail. Just any thoughts on what you would want to see out of the consumer that would kind of re-accelerate category growth and drive energy drink category growth as we go into the next year?
John Fieldly : Yeah, I think, when you look at the third quarter that we're reporting on today, it was troubled with traffic. We saw a lot of our major retailers talk about reduced traffic and convenience. We need traffic to come back. We need occasions to come back. But the good news is, when you look at the Celsius portfolio, our better-for-you and this performance energy and fitness lifestyle is a broad position that has a lot of tailwind behind it. The better-for-you is not slowing down. And I think what's really exciting for us as we sit here today is in the quarter, we saw for the first time about 50% of the category is – greater than 50% of the category is now sugar-free. So the sugar-free movement, it continues to build steam. We have an amazing sugar-free portfolio. We need macroeconomic trends to improve. We expect that to improve. We saw some additional growth in the category over the last several weeks from the lows and actually the negative growth we saw in the third quarter. So we feel with our function, our refreshing taste profile and our fitness position, we're well positioned when the category gets back, which we're confident it will. As you said, the category has been in a great growth driver in LRB and we're going to increase availability as well, which we're really excited about.
Jim Salera : Great. Thanks guys. I'll hop back in the queue.
John Fieldly : Thank you, Jim.
Operator: Your next question comes from the line of Kaumil Gajrawala of Jefferies. Your line is open.
Kaumil Gajrawala : Hey guys. Good morning. I guess a couple of things. The first is you were specific to mention in your prepared remarks that the new incentive structure with Pepsi and that you are positive about it. Can you give us maybe some more details on what's behind that and why that should drive category acceleration from where we are now?
John Fieldly : Yeah. When you look at it, the program, the further alignment incentive program we implemented in 2004 is really further getting implemented into 2025, with additional focus in priority periods. We just finished NACS last month and coming off their annual operating plan meeting that was in Las Vegas that our group, our leadership team, as well as a variety of other team members attended. Just, we're getting great cross-functional collaboration, further alignment on our 2025 plans, and we feel like we're going to have more of a cohesive approach as we're further aligned to truly drive this category, getting additional availability, expanding placements, and getting Celsius in the hands of more consumers and disrupting that path to purchase, which is so critical on building a brand and getting more trial.
Kaumil Gajrawala : Thank you. And I guess the second question is, are they done? Is inventories in the right place? Do we just move on with consumption from here? Presumably you've chatted with them and hope for no more surprises, but I think we'd all like to know if they are at the place they want to be.
John Fieldly : Yeah, we're watching the correlation between sell-in and sell-out. I'll throw that over to Jarrod to provide some further color on that.
Jarrod Langhans : Yeah, so we've got a handful of weeks of visibility into the fourth quarter. We're definitely seeing a tighter correlation on a weekly basis between the inventory sell-in and depletions from our largest distributors' warehouses into retail when comparing to Q3. It's not fully matched yet. So there is a slight disconnect from the sell-through versus a sell-in with retailers, but it's very slight at this point in time. At the current rate we should see alignment of the sell-in and sell-through before Q4 ends, based on the trends we're seeing and the discussions we're having. So our teams are definitely working together diligently to minimize any potential impacts in Q4. With that said, we could see some pressure in the quarter. November and December will be key drivers in this process. So as things stand today, depending upon how we end the year, we could see an impact where we see some positive benefit or potentially all the way up to maybe $15 million of pressure. That's kind of our visibility into today. So, that's kind of the range we can offer and what we're seeing from that perspective.
Kaumil Gajrawala : Okay, thank you. Did I hear that right? Another $15 million in 4Q? Is that what you just?
Jarrod Langhans : I said we could see, actually see anywhere from a bit of positive benefit from it, all the way up to around $15 million of pressure depending upon how we kind of finish off the year.
John Fieldly : Yeah, we need to see how November and December turn out.
Kaumil Gajrawala : Okay, got it. Thank you guys.
Operator: Your next question comes from the line of Mark Astrachan of Stifel. Your line is open.
Mark Astrachan : Yeah, thanks. Good morning, everybody. Just quickly following on that last comment. I guess, the question – obviously that's the question everybody keeps asking over and over again. But your range of potentially $15 million of headwind to slightly positive, I assume if we're all sitting here trying to look at this from our desks, the best way to think about this would be whatever end demand per the scanner data would look like, right? So, if your sales trends are growing somewhere around where they are now, low to mid-single digits, how does that look from an inventory destocking or restocking perspective? I guess maybe something to benchmark it relative to current performance would be helpful. And then I've got a couple of other questions.
Jarrod Langhans : Yeah, it's a good perspective, Mark. So I'd say if you see, if we start to see things pick up, then we have a better opportunity to benefit from that perspective. If we see things kind of turn the other way, then I would expect a little bit more pressure. So, kind of if we stay where we are, we're probably tracking to not have anything substantial. But you kind of – a little better is a little better for us. A little worse is a little worse for us.
Mark Astrachan : Yeah, that's helpful. And then on market share, so I think John, you said resilient, I think that was the word you used in the prepared remarks. It is hanging in there, but I suppose if you think about the share, it's still down, I don't know, 1 point, 1.5 point from some peak in May. I guess the question is, where do you think that consumer has gone? And what do you think Celsius can do to regain that consumer?
Jarrod Langhans: Yeah, I think when you look at it through that, going through since that peak of May, there's been a lot of challenges. We've expanded into the convenience channel. That was the biggest opportunity for us within shelf space gains. We did see some challenges there with foot traffic. We are – we know from some of the data that we're getting in from Circana, our shopper is potentially taking maybe that one less trip, that one less occasion. So we think there's a big opportunity to really target increased consumption and occasions and bring those consumers back as confidence returns in the category gets back to growth rate, on bringing new consumers in and expanding that. We think we have a great portfolio, the better-for-you movement is there, sugar-free is there. We've gotten a lot of – there's been a lot of innovation that's come in from some of the largest players that are expanding trial. Maybe that shopper purchased another product of one of the new flavors that came in on one of the other brands, but we feel confident in our portfolio. We feel confident in some of the new innovation that's coming out for 2025. Coming out of NACS, we talked to many of our customers and there's a lot of excitement around the energy category, expanding additional shelf space. And we heard positive feedback from many retailers on resets for 2025. So we'll see how that ends up, but we feel confident we're going to further expand space and availability. And we got some great retailer marketing programs planned into ‘25 and further alignment that I was talking about answering the prior question with Pepsi. We're getting further alignment each and every week, every month. We're collaborating better each and every day and this is getting into the third year of the relationship and we're really looking to leverage that.
Mark Astrachan : Got it. And just to follow-up on that. So your share sounds like you are saying is weaker in C-stores than it would be in mass, Amazon, Costco. Is that the way to think about it?
John Fieldly:  Yeah. And that's historically. As it – you know if you go back, even historically as it's been our share as a percentage has been better in food, drug, mass and on Amazon. So that's – the big opportunity is to close the gap. We got good share in a variety of, in a national retailer, as well as regional players. We just need to close the gap. We need to get better placements. We need to disrupt that path to purchase. We need to continue to drive household penetration and we feel that the consumer is there. We know the sugar-free consumers there, the better-for-you consumer, the fitness lifestyle consumer, and we're well positioned to capture that when this category gets back to growth.
Mark Astrachan: Great. Thank you.
John Fieldly: Great.
Operator: Your next question comes from the line of Peter Grom of UBS. Your line is open.
Peter Grom: Thanks operator. Good morning, everyone. So I guess I wanted to ask about the inventory, but maybe just the assumption for a slight benefit versus the $15 million headwind. Is this something you plan to update us on as we move through the quarter? Maybe similar to what we saw in 3Q. And then of that $15 million headwind, what's kind of underpinning that assumption? I guess I'm just trying to make sure we don't have a similar negative update, if you will, versus similar to what we had in September where things came in far worse. And I guess just building on that, you mentioned better alignment several times throughout this call. But how would you compare your visibility today on the inventory dynamic versus maybe what we saw in the spring and the summer?
Jarrod Langhans: Yeah, I think we have good visibility and we've been working closer and closer together. I think some of the – what got caught up in Q3 was some very good optimization that took place and some very efficient optimization, and I think our largest distributor actually commented on that, on their call a couple of weeks ago. So they did a great job with that. We kind of got caught up in that in Q3. In Q4, we're kind of just looking at trends and we're trying to build an analysis, kind of some part. If things got a little better or if things got a little worse, that's kind of the range we provided based on the trends and the data we're following, and so that's our best estimate for you guys from that perspective. In terms of Q4 versus Q3, Q3 was really where the optimization took place. Q4 is more a product of where does the category go, more so than I would say, any kind of significant optimization.
Peter Grom: Okay, so that's helpful, Jarrod. I guess as we stand here today, is the best way to think about 4Q North America sales growth as the kind of, take what we see in underlying standard data and call it this low to mid-single digits and back out some sort of assumption for being conservative, the $15 million. Is that fair?
Jarrod Langhans: Yep.
Peter Grom: Okay. And then one quick follow-up. Just maybe building on the question on market share, you unpacked some plans here, promotions, innovations. But I guess a lot of your peers are kind of doing similar things. So I'd be curious, what you think is actually different today versus maybe what you were doing over the course of the summer. And then within that, we're kind of at a point where if you kind of look at the sequential market shares, if you hold here, you are going to start to see year-over-year declines. Is that something you think we should be braced for as we think about the track performance looking out over the next several weeks here?
John Fieldly:  Yeah, Peter, I think there's a lot of variables there within the share. There's a variety of things happening from consumers, from shopping pattern changes, to innovation, to consumer sentiment. We have a variety of different tactics and strategies in place to continue to drive new category consumption, further activating our Gen Z or college university program, leveraging are better-for-you and the sugar-free movement. Increasing availability is something we're really working on further. That's that alignment and collaboration with Pepsi to really further expand that, cooler placements, path to purchase. You look at some increased consumptions, that occasions, that food service we talked about in the prepared marks. There's a lot of great opportunities ahead. Talk about some national reach. I mean, like I just mentioned, the Jake Paul Tyson's, the Netflix, supposed to be is the largest consumer sporting event, live sporting boxing event in history actually. So that'll be coming up in the next two weeks. It'll get a lot of reach, a lot of eyeballs, further drive household penetration. And then we got some great flavor innovation coming in, further aligning that refreshing – want to be the most refreshing energy drink out there. So we have a lot of great strategies. We continue to evolve, continue to maximize efforts, target new consumers and build upon that. So as the share goes, we're working hard to continue to drive, increase share and increase velocity. And that's what these teams are focused on and we continue to evolve each day, learning, getting better at executing and evolving.
Peter Grom: Got it. Thanks so much. I'll pass it on.
Operator: Your next question comes from the line of Kevin Grundy of BNP Paribas. Your line is open.
Kevin Grundy: Hey, good morning everyone. A couple of questions for me. Just kind of zooming out a bit, but kind of picking up on a lot of line of questions around the court. Has there been consideration around introducing formal guidance, both near term and long term? And I ask that in the context, number one, historically appointed to Monster. We can agree they are kind of an outlier, whereas pretty much everyone else in Staples issues some sort of guidance, number one. Number two, I would say the range of outcomes in the U.S. now is a heck of a lot more narrow than it was, my goodness, even probably like just five, six months ago, because I think – And then lastly, I think you guys would know, it's not loss on you for a moment. I think there is a strong desire in the marketplace for greater visibility, more sort of credibility around the results and kind of where we're going, both near term and long term. So your feedback there, your thoughts there would be appreciated, and then I have a follow-up.
John Fieldly: Yeah Kevin, there's a lot of variables in our models and the outcome, especially over the last several years, so there's a lot of dynamics at play. At this time, the company is not providing for guidance, but it's not something that we can reevaluate in the future. But at this time, the company is not providing forward guidance, it’s something we haven't done.
Kevin Grundy: Okay. Thanks John. Follow-up, unrelatedly, international expansion. So I think in the past there's been somewhat of a more measured, or even to-date for that matter, a more measured sort of approach. And I think the thinking was understandably that there's this massive opportunity in the U.S. and share was just strictly sort of up and right and that's not where the company finds itself today. So is there a sound school of thought, if you will, to expand international much more aggressively than the company is today? You are well aware of where your international business is as a percent of mix relative to Monster. So it seems like that's a potential value trigger where the company can really lean in to offset what has been a pretty market deceleration to U.S. business. So it would be great to get your thoughts there. And then relatedly, do you think you have the right team in place, the right leadership internationally in place to drive that sort of expansion?
John Fieldly: Yeah Kevin, we just launched. We announced several further expansions this year, partnering with Suntory for the UK, Ireland. We also have Australia, New Zealand and France. So we have a lot of new markets coming onboard, which the teams are working on. We agree with you. We think there's a lot of opportunities within an international expansion. We are being very cognizant of timing and sequencing on the rollout of that, on a temper expectations. As we continue to grow and scale, we can – you know things can turn out really well. So the same health and wellness trends we see in the U.S. are global trends. We feel confident in our international expansion. We're going after higher energy drink volume markets. We have great partners. We're getting great feedback from distributors and retailers and alignment with 7-Eleven in Australia, New Zealand and Tesco in UK. And so there's a lot of great things in the works, and we're going to continue to move as fast as the brand gains acceptance, a consumer acceptance, a loyal consumer and roll forward, but we're not setting expectations at this point in time.
Jarrod Langhans: And just to jump in on that, Kevin, in terms of people or headcount, we are looking to stand up operations that that will allow us from a global perspective to expand better or quicker at scale. So we did mention that on our prepared remarks where we are standing up kind of a center of excellence from a supply chain perspective, innovation, marketing, etc. So that will allow us the optionality around moving quicker from that perspective.
Kevin Grundy: Okay, thank you guys for the color. I appreciate it. Good luck.
John Fieldly: Thank you.
Operator: Your next question comes from the line of Michael Lavery of Piper Sandler. Your line is open.
Michael Lavery : Thank you. Good morning.
John Fieldly: Good morning.
Michael Lavery : Just wanted to come back to shelf space and the resets and maybe get a sense of how much that's already set for 2025, and kind of what updates you can give us on it. And also, I'm curious, just maybe how you see the positioning competitively, compared in contrast to maybe how you see yourself against Ghost and if it's joining forces with KDP. Does that change anything about the competition for shelf space? If not, maybe for this round of resets, maybe beyond. Just love to understand a little bit better, how that is all set up.
John Fieldly: Yeah, no Michael. Great questions. I think in regards to resets, like I said, coming out of NACS, there was a lot of great positive feedback around the brand. So we're confident we'll be able to gain additional shelf space, better placements and hopefully – and gain secondary placements as well. Increase that cold availability to take advantage of those impulse purchases. So the brand's very well received by buyers. We're bringing in incremental consumers, which is very valuable for our retailers, as well as our alignment. We just won Supplier of the Year awards over the last 12 months at a variety of major retailers around the country, including 7-Eleven, Circle K and Casey's as well. So we're being recognized by our retail partners. In regards to the acquisition of the most recent transaction with KDP and Ghost, great brands, great opportunities for KDP. Just further reinforces the opportunities that everyone's seeing within performance, energy, better-for-you, fitness lifestyle, which is the lifestyle of the future and today. So as I always say, where there's disruption, there's opportunity. So I think that's on us on behalf of the teams. We're keeping a close eye. There might be some transitions between distribution networks, but whenever there's disruption in any business, there's opportunities. So our teams will be on the lookout. We're working hard each and every day and where there's opportunities to take advantage, we will and we'll go after it. But I think the Ghost and C4 are great brands out there.
Michael Lavery : That's helpful. And just to follow-up on the balance sheet, you've put a little bit of the cash to work for the Big Beverage acquisition, but there's still a big pile there. Maybe any thoughts on how to deploy that, and/or I guess just you touched on some of the strategic thinking on being vertically integrated. Should we expect more of that to come?
John Fieldly:  Yeah, I think when you look at our balance sheet, we have an extremely healthy balance sheet. The most recent vertical integration with Big Beverage really allows us for additional flexibility. Take advantage of opportunities. We could do LTOs, innovation and really helps us further optimize our orbit model. We're very focused on driving and gaining leverage with scale. So this is a major step forward. As we look into ‘25, we'll be able to gain further leverage, and we're excited about that partnership. So it's a good ROI investment. The cash on our balance sheet allows us to be opportunistic and have availability. So we feel we're in a good position as we currently stand.
Michael Lavery : So opportunistic, but not necessarily committed to further vertical integration, it just depends.
Jarrod Langhans: Yeah, I mean, it was – this was a plant that was predominantly Celsius. So it was easy to pick it up and really bring it into our system and give us that flexibility around LTOs, innovation and those kinds of things, but we don't have a desire to become a co-packer. So it's not something we look at from a long term perspective. It was a great opportunity to pick the plant up. We still believe in the orbit model and the partnerships we've created with co-packers across the U.S. This was a co-packer that we were already using as well. So it wasn't something that we suddenly are going to move to them. It's definitely something we like our orbit model. We like to be a little asset light. But we think in this instance, vertical integration, the opportunity to leverage the business a little bit and to have the optionality around LTOs and innovation and R&D was well worth it.
Michael Lavery : Okay, great. Thanks so much.
John Fieldly: Thank you.
Operator: And your last question comes from line of Eric Serotta of Morgan Stanley. Your line is open.
Eric Serotta: Great. Thanks for squeezing me in guys. Two quick questions. First, how are you thinking about kind of evolving the execution playbook for next year? It seems like clearly Red Bull is on the offensive, going after the sugar-free flavor space. They have been since the summer, winter seasonal, realizing it's early, but seems to be off to a strong start, and Monster having a big push this fall and upcoming winter and sugar-free. So how are you looking to evolve the playbook next year, whether it's drill deep strategy or any other execution things? And second, on pricing, surprised it didn't come up already. But I believe that Monster's price increase was – their list price increase was set for November 1. Have you guys communicated anything to the trade yet? And if so, what's the timeline and magnitude?
John Fieldly: All right, Eric. Excellent, Eric. That's the first question in regards to around the execution, and really well as you further identified the sugar-free movement that's taking place in the energy category, with Red Bull now further leaning in, as well as Monster leaning in with some innovation and sugar-free. This just reinforces the opportunity we have at Celsius as a strong, solid number three player in the energy category. This shows the opportunities we have to further work with our retailers and bring more consumers in. As this category not only grows, gets back into growth mode, but further sees the sugar-free energy movement and percentage of business continue to grow at an increasing rate. So we think we're well positioned. The more we can talk about sugar-free, great. And the opportunities that exist for better-for-you products, Celsius is well positioned with our Live Fit mantra and bringing that essential energy for life. So we think the increased competition in the space further allows us to further expand over the next coming years and beyond. When you look at some of the strategies that we have for 2025, really going back to the three growth drivers we talked about on prepared marks and then some of the other conversations. New to category is going to come back. We feel we know strongly, more consumers need more energy than ever before. And the consumers coming into the category for the first time today, they are well aware of energy drinks, they are well aware. It's part of a daily lifestyle. We're seeing coffee being replaced, that coffee occasion. There's so many other occasions where energy drink play with the new to category consumer that has evolved. So we're going to continue to drive that increased availability. We talked about that with some of a Pepsi partnership on alignment, that increase in that path to purchase, and then increase in consumption. C&U foodservice, talk about Jersey Mike, so many different opportunities to increase awareness, have additional availability and points of disruption as we're moving through. This is the third year in their relationships with Pepsi, and it's going to be a great year as we're heading forward. In regards to pricing, we have discussed, talked about that on prior calls. We did roll out a price increase. But we have said we're being cognizant of that, that we don't expect significant benefit into 2025. So we expect as promotional activities and opportunities exist, where we can gain leverage, we will. But we're not – we have not provided the amount, nor have we provided any additional guidance that we will have additional leverage or pricing flow through our financial statements in ‘25. We're being conservative on that.
Eric Serotta: Got it. Thank you.
John Fieldly: Thank you.
Operator: That concludes your Q&A session. I will now turn the conference back over to Chairman and CEO John Fieldly for closing remarks.
John Fieldly: Thank you, operator. Thank you to everyone who joined us on our webcast this morning. Celsius continues to grow the energy category with our great tasting, refreshing beverages, that are on trend for today's fitness minded consumer. Our three growth drivers, more consumers in more places, more often will guide us now and into the future as we continue to grow the Celsius brand here in the U.S. and around the world. We will share a full schedule of upcoming conferences that we'll be attending in the next quarter soon. Thank you to all of our employees, including our newest members of the Celsius family joining us from Big Beverages. Thank you to all our customers, investors, partners who are so supportive of Celsius, on our mission to change the energy drink category. Make it a great day. Grab a refreshing Celsius and live fit!
Operator: This concludes today's conference call. You may now disconnect.